Operator: Good morning and welcome to Fluor Corporation's Fourth Quarter and Year End 2016 Conference Call. Today's call is being recorded. At this time, all participants are in a listen-only mode. A question-and-answer session will follow management's presentation. At this time, for opening remarks, I would like to turn the call over to Geoff Telfer, Senior Vice President of Investor Relations. Please go ahead, Mr. Telfer.
Geoff Telfer - Fluor Corp.: Thank you, Noah, and welcome to Fluor's fourth quarter 2016 conference call. With us today are David Seaton, Fluor's Chairman and Chief Executive Officer; and Biggs Porter, Fluor's Chief Financial Officer. Our earnings announcement was released this morning before market open, and we have posted a slide presentation on our website which we'll reference while making prepared remarks. But before getting started, I'd like to refer you to our Safe Harbor note regarding forward-looking statements which is summarized on slide two. During today's call and slide presentation, we'll be making forward-looking statements which reflect our current analysis of existing trends and information. However, there is an inherent risk that the actual results could differ materially. You can find a discussion of our risk factors which could potentially contribute to such differences in the company's Form 10-K, which was filed earlier today. During today's call, we may also discuss certain non-GAAP financial measures. Reconciliations of these amounts with the comparable GAAP measures are reflected in our earnings release and posted in the Investor Relations section of our website at investor.fluor.com. Now, let me turn the call over to David Seaton, Fluor's Chairman and CEO. David?
David Thomas Seaton - Fluor Corp.: Thanks, Geoff. Good afternoon, everyone, and thank you for joining us here today. On today's call, we'll review our fourth quarter and full year 2016 results as well as discuss the outlook for 2017. But before we move to the numbers, I want to recap some of the more notable events in 2016. I think, we've had quite a year notwithstanding our issue with CPChem. But in January, we saw the mobilization of more than 6,000 craft staff employees to support the construction activities of the two Westinghouse nuclear projects. One in Georgia, one is South Carolina, both of which support our direct hire construction strategy. In February, we saw the first of number of awards in our infrastructure business line with the award of Loop 202 South Mountain Freeway Project in Phoenix, Arizona. In March, we continued to build on our integrated solutions platform completing the acquisition of Stork and our investment in the fabrication facilities in Zhuhai, China with our partner COOEC. Also in March, we completed our first ever euro-dominated bond offering of €500 million with an interest rate of 1.75%. This low rate was due in part to our A minus credit rating. We received another infrastructure award in April. This time the Port Access Road Project in Charleston South Carolina, proving that we can be competitive in the smaller infrastructure fixed price opportunities that will exist as we go forward. In May, we saw the completion of the large Cerro Verde mining project in Peru with excellent performance. We received another infrastructure award in June. This time it was the Purple Line Light Rail Project in Maryland. The final investment decision for the Tengizchevroil project in Kazakhstan was reached in July. The TCO project was our largest single contract award for 2016. In August, the Department of Energy extended our contract for site management and operations of facility Savannah River in South Carolina. And in the following month, we received major multi-year remediation contracts to operate depleted uranium hexafluoride conversion facilities in Paducah, Kentucky and Piketon, Ohio. Infrastructure was again in the news in October with the reward of the reconstruction of the A27 and A1 motorways in the Netherlands. In December, we saw the completion of all eight 419-foot towers on the Tappan Zee Bridge in New York State. This was a significant milestone for the infrastructure group and our project team. We also saw an award for construction of a new production facility for Novo Nordisk in North Carolina. This facility is the largest in Novo Nordisk's history and will produce life-saving medicines for use by patients around the world. And finally, NuScale submitted their on-time application to the U.S. Nuclear Regulatory Commission for approval of the company's small modular reactor design. This is the first ever SMR design certification application to be submitted to the NRC and marks a significant milestone for NuScale and the power generation industry. Now let me go to 2016 and I'd like to begin with slide 3. 2016 earnings attributable to Fluor from continuing operations were $281 million or $2 per diluted share. Excluding the previously announced non-cash adverse tax effects of $45 million or $0.32 per diluted share, we reported a net profit from continuing operations of $326 million or $2.32 per diluted share. This compares to $418 million and $2.85 per diluted share a year ago. Consolidated segment profit for 2016 was $744 million compared to $1 billion a year ago. Segment profits for 2016 were 3.9% compared to 5.7% last year. Excluding the negative impact of the charges taken in Q2 into Q3 on our fixed-price contract for CPChem, segment profit margin for the year would have been approximately 5.2%. Consolidated 2016 revenues was $19 billion, up from $18.1 billion a year ago. Full year new awards were $21 billion, including $8.4 billion in Energy, Chemicals & Mining; $6.2 billion in Industrial, Infrastructure & Power; $4.6 billion in Government; and $1.8 billion in our Maintenance, Modification & Asset Integrity segment. Consolidated backlog at year-end was $45 billion, flat from the $44.7 billion reported a year ago. If you'll turn to slide 4, the Energy, Chemicals & Mining segment booked a $1 billion new award for the quarter including a bauxite development project in Guinea. Ending backlog for Energy, Chemical & Mining segment was $21.8 billion compared to $29.4 billion in 2015. Looking ahead, we have read the same things you have when it comes to what the oil majors and their capital spending plans will be. I believe that the relative stability in the oil price that we've seen over the last 12 months has given our customers the confidence to move forward with higher return projects as evidenced by their indication that capital spending in certain areas could be higher in 2017. Fourth quarter new awards in Industrial, Infrastructure & Power were $1.3 billion including the Novo Nordisk pharmaceutical manufacturing facility I previously mentioned. We closed the year with a backlog in IIP of $15.1 billion compared to $9.7 billion at the end of 2015, again reflecting the growth across all end markets we serve. I'm particularly pleased with our infrastructure business, as they've been able to double infrastructure backlog over the course of the year. There's been quite a bit of focus and excitement around infrastructure related opportunity since the election. 2016 was a great year for us from an infrastructure standpoint and we will start to see more bid decisions in 2017, somewhat based on the FAST Act funding agreement passed over a year ago. Any spending initiatives from the Trump administration will be well received and we have given our input as how best to speed up the approval and funding process for those new projects. Turning to slide 5, the Government group posted fourth quarter new awards of $101 million and ending backlog in 2016 was $5.2 billion compared with $3.6 billion at the end of 2015. The Maintenance, Modification & Asset Integrity segment posted fourth quarter new awards of $357 million. Ending backlog in 2016 was $2.9 billion compared to $2.1 billion at the end of 2015. Looking back, 2015 and 2016 represent one of the most difficult times in our industry. In fact, Energy and Chemical awards during this two-year period were the lowest they've been since 2009-2010. Even with that headwind, we were able to grow our backlog and focus our resources on non-commodity markets and opportunities. So what does that mean for 2017? I think it means that our Energy and Chemicals pipeline of opportunities will be coming off the bottom of the cycle. Clients focused on higher return projects and capital efficiency match well with what our talents provide. We also see reason to be optimistic not only in mining, which is also coming off of the bottom of their cycle, but also infrastructure where it appears – the interest and motivation to expand spending both domestically and abroad. With that, now I'll turn it over to Biggs to review some of the details of our operating performance and the corporate financial metrics for the quarter. Biggs?
Biggs C. Porter - Fluor Corp.: Thanks, David, and good morning, everyone. Please turn to slide 6 of the presentation. I'll start by providing some additional comments on our fourth quarter performance, then move to the balance sheet. Revenue for the quarter was $5 billion, up from $4.4 billion a year ago. Revenue gains from Industrial, Infrastructure & Power; Maintenance, Modification & Asset Integrity; and Government were offset by decline in the Energy, Chemicals & Mining segment. Corporate G&A expense for the fourth quarter was $56 million compared to $54 million a year ago. Restructuring expenses in the quarter were partially offset by foreign exchange gains. As we stated in our preannouncement last week, taxes in the fourth quarter include $45 million in noncash tax effects related primarily to new IRS regulations that were issued in December. We don't expect this regulation to have a recurring effect. The other significant tax effect had to do with foreign subsidiary losses driven by organizational realignment activities. A majority of this tax effect was related to Stork. Both of these effects are noncash in nature. Our tax estimate of 33% to 35% remains unchanged for 2017. Shifting to the balance sheet, Fluor's cash plus current and noncurrent marketable securities totaled $2.1 billion compared to $2.1 billion last quarter and $2.4 billion a year ago. In 2016, the company generated $706 million in cash flow from operating activities compared to $849 million in 2015. The company also returned $118 million in cash to shareholders through dividends. Moving to slide 7, Fluor's consolidated backlog at quarter end was $45 billion. The percentage of fixed-price contracts in our overall backlog declined to 27%. At quarter end, the mix by geography was 52% U.S. and 48% non-U.S. This is the first time U.S.-based backlog has been above 50% since 2008. I will conclude my remarks by commenting on our guidance for 2017 which is on slide 8. We're maintaining our guidance for 2017 of $2.75 to $3.25 per diluted share. Our range for 2017 assumes continued challenges in our commodity-focused segment, offset by increasing opportunities in Infrastructure, Industrial and Government. Our guidance for 2017 also assumes G&A expense in the range of $180 million to $200 million and a tax rate of 33% to 35%. Other expectations for 2017 include a modest decline in NuScale expenses to approximately $80 million, and capital expenditures of approximately $200 million to $275 million depending upon AMECO opportunities. Our guidance reflects an expectation of gradual quarterly improvement in 2016 (sic) [2017] (14:14). We anticipate average full-year margins in Energy, Chemicals & Mining group to be in the 4% to 5% range; Industrial, Infrastructure & Power excluding NuScale to be in the 4% to 4.5% range; Maintenance, Modification & Asset Integrity to be around 4.5% to 5.5%; and Government to be approximately 3%. With that, operator, we're ready to take questions.
Operator: Thank you. And, we'll take our first question from Jerry Revich with Goldman Sachs.
Jerry Revich - Goldman Sachs & Co.: Hi. Good morning, everyone.
David Thomas Seaton - Fluor Corp.: Good morning.
Jerry Revich - Goldman Sachs & Co.: You had a nice backlog increase in II&P this quarter looks like maybe a scope adjustment. Can you talk about the drivers? And, separately, can you talk about any discussions you've had on the nuclear projects with VAN customers Southern and SCANA considering the concerns about Westinghouse? Is there a contingency scenario planning that you folks are part of where you get an opportunity to continue to work maybe with increased scope going forward?
David Thomas Seaton - Fluor Corp.: Well the adjustment is primarily Westinghouse. But let me talk about Westinghouse a little bit here. Obviously, they are in a challenged position. We were brought in a year ago, a little over a year ago to try to help Westinghouse construct these facilities and I think we've been able to help them see where they are and where the issues are and we're moving forward. In both cases, we have great long standing relationships with both Southern and with SCANA and Santee Cooper and I personally have relationships with the managements of both those companies. And we're going to do what we can to finish these projects. Clearly, Westinghouse or at least Toshiba has made the comment that they plan to finish these projects and we expect to be there to help them do so.
Jerry Revich - Goldman Sachs & Co.: And David as part of the backlog adjustment, have you updated the timeframe of when the projects are expected to be completed? I think the latest estimates were in 2020, but I think subject to revision, did that change with the backlog increase this quarter?
David Thomas Seaton - Fluor Corp.: That new schedule is part of our review and the estimate to complete based on that schedule.
Jerry Revich - Goldman Sachs & Co.: Okay. Thank you. And then separately, can you just say more about the bookings environment in EC&M over the course of 2017? Do you think you can maintain or maybe possibly grow backlog over the course of the year? Can you just touch on what type of end markets do you expect to drive your booking activity over the next 12 months?
David Thomas Seaton - Fluor Corp.: Well, I'm actually pretty excited about what's in front of us. If we think about what we chase on factored and on unfactored basis, in the EC&M segment, we're chasing about 50% more this year than we did in 2016. And I would say 2015's probably about the same number, which is somewhat backend loaded. Some of these projects aren't to be actually sanctioned and awarded until second half of the year. But I think as my prepared remarks suggest, we think we're at the absolute bottom of the cycle and what we see is an improving slate of things to chase. And we're not changing our selectivity sieve at all from a quality of project perspective, but we're seeing that what I predicted two years ago, and that is, there'll be pent-up demand on things because customers have kind of delayed projects for their own financial reasons, but now reached to the point where they've got to spend again. So, I think we're kind of in the beginning stages of what I would argue would be a sustained positive capital cycle that we've seen in the past. And I believe we're positioned as good as anybody to win better than our fair share of those projects. So, I kind of think, and that's both oil and gas and in mining. You saw the two awards last year in bauxite. We're seeing a movement in copper. You've seen the copper prices increase. We're highly successful in Cerro Verde, which leads to hopefully other projects that that customer as well as the others going to do. So, we're growing from such a low basis in mining, I think we're in for some really good awards in that particular piece of EC&M. But then on the oil, gas and chemical side, we see some chemicals work, we see some more refining work. We're bidding some significantly large projects in refining and we're also starting to see some of those upstream projects loosen up, TCO being the latest example of that.
Jerry Revich - Goldman Sachs & Co.: Thank you very much.
David Thomas Seaton - Fluor Corp.: Thank you.
Operator: Our next question comes from Jamie Cook with Credit Suisse.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Hi, good morning.
Biggs C. Porter - Fluor Corp.: Morning.
David Thomas Seaton - Fluor Corp.: Hi, Jamie.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: I guess my first question, well one, congrats on beating ex the tax noise. But just the one question I do have, I guess I appreciate the color that you guys are providing on guidance now. But I was a little surprised by the margins that you guys are guiding to for EC&M. So, can you talk about the drivers to sort of to get to the low end? I don't know if it's CPChem at zero margin or TCO ramping or mining. I guess that level just sort of surprised me to some degree, so I guess if you could start-off with that. And then, David, I guess my second question, you sound a lot more optimistic on sort of the award potential, I would say relative to how you sounded last quarter. So, my question is do you think given – do you think your customers – or do you think we'll see any success with your new business model and that you could win your fair share of awards just given your vertically integrated approach and the cost that you can take out of the projects relative to the competition. And sort of how you're going to balance the potential awards with what you talked about last quarter in terms of, just you talked about just the competitive environment really seem to take a turn for the worse? Thanks.
David Thomas Seaton - Fluor Corp.: Well, the quick answer is, you answered your question. It's lots of moving parts in terms of the margin equation. It's just a change in mix, it's everything associated with that grouping of businesses. And Biggs, can give some color on second half. I'll answer your second question. It's always competitive. This is something that I'm not sure it gets enough press. It doesn't matter if times are good or times are bad. It's a dog fight in this industry. I mean, we have to be competitive. We have to be able to present the best solution for our customers. So, I would argue that I've never seen an easy competitive time in my career, right? So, with that as a backstop though, when you look at the integrated solutions option that we have, it follows exactly what the customers have asked us for, in terms of better certainty of cost and schedule and better capital efficiency. And I think we're proving that time in and time out. So I think that the proof is, is that the customers are starting to say, well, nobody else has the ability to do the entire lifecycle cost slate of a capital program. And I know some of our competition would disagree with that, but our customers are proving that we're correct. So, I think that I am a little more optimistic as I look at new awards in 2017 and 2018. But I'm cautiously optimistic in terms of how that translates into earnings in 2017. But I think that...
Jamie L. Cook - Credit Suisse Securities (USA) LLC: But I guess, because you sounded like a lot of the awards get hit towards the latter part of the year and I guess my concerns always been – I mean given what you're seeing, do you think 2017's the trough for earnings or 2018? I mean if the awards start of inflect, it probably doesn't matter but I'm just trying to think about your confidence level...
Biggs C. Porter - Fluor Corp.: We've already given you the guidance, Jamie. We're not going to (24:06) for 2018.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: I'm asking for 2018.
David Thomas Seaton - Fluor Corp.: I think that – look, we're coming off of what would have been a really good year had it not been for one project. If you take that out, it would have been a really good year in the face of what was probably the worst economic times our industry has seen in a while. So it shows the power of Fluor in the earnings that, that we have available to us. We have worked off a significant amount of the engineering piece of that particular market and we're starting to rebuild it. So you're going to see and you're going to see earnings in 2017 fairly flat with 2016 because of the timing of the cycle. But again, you've got to think about us in terms of the diversity we provide. In the face of probably the worst two years of new award performance in E&C, as I said in the prepared remarks in a half a decade, we were able to marginally grow backlog because of the diversity that we provide. So when we look at the earnings curves on infrastructure, those are really backend loaded kinds of programs and projects. So, earnings in the near-term are going to be fairly flat, as I said. But when we start looking at 2018, 2019, 2020, 2021, I think we're on an increasing scale in terms of profitability.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay.
Biggs C. Porter - Fluor Corp.: Back to the margin question, Jamie, on the CPChem, yes, when you have a project that you've booked a loss on, going forward you effectively book it at zero, so, that does have a little bit of depressing effect on margin rate, but you should think of that as being in the range of 20 basis points. So, it's not a dramatic swinger in terms of what's happening to the margin rates. The big driver is, as David said, is the change in mix. We've been talking about it for a couple of quarters saying it was coming in terms of shifting from much more engineering content to much more intensive construction and procurement content. Segment the contracts between engineering and construction and procurement, you get this mix shift because engineering is just a much higher margin rate than construction is as it goes through the books. So, what you're looking at in 2017 is just the burn-off of the engineering on the projects that we got new awards in ECM over the last few years, and transitioning more fully to construction on those projects which should have had enough inflow of new engineering work to sustain the mix for now. Obviously, as David commented, as we go forward, we get new awards in, we'll see a shift back. So, it's really mix. If you look at the last few quarters, if you normalize them for the CPChem charge, by example, then you would see that over time we actually seen a shift downward in the margins on ECM reflecting this gradual move and it's just going to continue into next year until we get some new engineering work in.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay. Thank you. That's helpful.
David Thomas Seaton - Fluor Corp.: Thanks, Jamie.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: I'll get back in queue.
Operator: We'll take our next question from Steven Fisher with UBS.
Steven Michael Fisher - UBS Securities LLC: Great. Thanks. Good morning.
David Thomas Seaton - Fluor Corp.: Good morning.
Steven Michael Fisher - UBS Securities LLC: On the Westinghouse nuclear work, can you just tell us how often you're getting paid on that work and how that's changed over the course of the past year that you've been doing the work? I thought in the beginning the expectation was you would get paid every 30 days but just kind of curious if that's still the case and how that's changed.
David Thomas Seaton - Fluor Corp.: We've got a little bit of a delay in terms of payment, but I wouldn't call it material. Right now, if you think about – you've read the same things I've read on Toshiba's announcement and the things that they're having to go through. We have enough conversations with them to feel that they're in a place where the banks are going to help them fund these projects and we expect those ARs to be fully paid. But it's a timing element, but the accounts receivable issue is not material.
Steven Michael Fisher - UBS Securities LLC: Okay. And then just a question on the sensitivity of customer project investment decisions and costs and just kind of get to the question about what is really still holding projects back and I'm wondering if it's cost or confidence or what have you. But I guess if you could take costs out by another 10%, how many projects do you think that would move forward in this environment or is it not that simple? And if it were just a matter of taking 10% out, how would you do that? Or is it 20% that needs to come out? It's sort of a big picture question about what still needs to happen to get projects moving forward.
David Thomas Seaton - Fluor Corp.: Well, I think that we've already proven that we can take significant percent of the cost out, assuming that the customer is flexible enough to let that change happen. I would argue that in a lot of cases, customers are still under the mode of, that's not the way we do it here. And where the C-suite of the customer say yes, yes, yes, that's what we want is the integrated approach, what we're doing, taking money out, changing the execution's approach. But when it gets into their organization, sometimes the organization vetoes the CEO, which is a dangerous place to be if you're looking for capital efficiency. In terms of going forward, I mean, as I said, just in E&C alone we see a 50% rise in what we're looking at during 2017 over 2016. So those projects are moving forward, but as we've said in the past, they move forward at their own pace. And even though the customers are a little more eager to get some of these things done, they're still going through what I would argue is a more detailed gating process than they've gone through maybe in that last boom. And I think prudently so, because I think there were some projects that our oil & gas friends would have probably avoided had they not believed that $100 oil was there forever. So I think it's just a matter of good, prudent gating processes. But as I said, we're seeing an increase in activity. We're seeing an increase in the number of bids that we're focused on. Just in EC&M alone in 2017, there is around 775 prospects that we're chasing in that alone. So that's up again, that's up as well, not the same 50%, because my 50% is on dollar value. But we're winning our fair share. And I think that that will continue, but just with the one word of caution and is I think it's probably a second half of 2017 before we see some of those significant projects actually get to sanctioning.
Steven Michael Fisher - UBS Securities LLC: Okay. So it's not just more costs need to come out of this broader...
David Thomas Seaton - Fluor Corp.: I mean costs maybe...
Steven Michael Fisher - UBS Securities LLC: ...gating opportunity.
David Thomas Seaton - Fluor Corp.: Costs continually need to come out. Make no mistake. And what we're delivering is a lower cost solution. And I think that's evidenced by some of the awards we've had across the board not just in EC&M but also in EC&M.
Steven Michael Fisher - UBS Securities LLC: Okay. Thanks a lot.
David Thomas Seaton - Fluor Corp.: Thank you.
Operator: Our next question comes from Andrew Kaplowitz with Citi.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: Good morning, guys.
David Thomas Seaton - Fluor Corp.: Good morning.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: David or Biggs, revenue in EC&M actually beat our estimate by quite a bit and had a nice sequential uptick. Was it just older projects moving from engineering to construction as you've been talking about or did you see any uptick in revenue burn in your project portfolio as customers have started to feel comfortable with the commodity environment? If that's the case, could revenue burn continue to pick up in 2017?
Biggs C. Porter - Fluor Corp.: So I think the answer to your questions are yes, in general, it is largely a shift from engineering to construction procurement, which has higher revenue, lower margin, but higher revenue that has caused the uptick in, and that may continue into, at least for a while in 2017. So, that's what I think is going on from a revenue standpoint. In terms of, I think, your question was what is the offset...
Andrew Kaplowitz - Citigroup Global Markets, Inc.: No, Biggs. It's like did you see any older projects that had been sort of slow burn because customers are burdened (34:05) down with the uncertainty...
Biggs C. Porter - Fluor Corp.: Just by going into construction the burn rate's going to go up because you're at a later part of the project. The revenues go up with the construction activities going up, and so that's going to increase the burn rate. So, overall, our burn rate as a company has gone up. If you look at what's in the 10-K, it says that the burn rate on 2016 backlog is going to be 42% for 2017, which is up from last year. It's up in EC&M, but it's down some in Industrial, Infrastructure & Power because projects like the Purple Line, which is large, very long life, and Westinghouse also large and long life. So, you've got EC&M burn rate going up based upon the maturity of those projects, but then in other parts of the business, partially offset by large, long life projects being added in.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: Okay. That's helpful, Biggs. And, David, maybe just your perspective, you've been talking about mining on this call. If you remember, I think in 2012, it was about 40% of your total backlog. It was very large. Obviously, we've seen a snapback in bookings. You talked about the overall funnel improving. But do you think it's possible over the next year, I mean I think you bottomed-out at something like $1 billion of mining backlog. Do you think it's possible to do several billion dollars of mining awards over the next year? Is that how we should be thinking, is that a possibility?
David Thomas Seaton - Fluor Corp.: Well, we bottomed-out at $0.5 billion, that's how low it got.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: I rounded out for you.
David Thomas Seaton - Fluor Corp.: Well, thank you. But I mean, I think it's one of these things that we maybe not get enough credit for, as when you think about it, it was 40% of our backlog three years ago, four years ago, and it was $0.5 billion at the beginning of last year. And we're still one of the biggest dogs on the block. I think, it shows that we can skate to where the puck's going to be to steal from the great Gretzky. But I do believe that there are some projects out there in mining that will be awarded, that will continue to build the backlog of mining in 2017. But I also believe that we're on the beginning of a little longer new award train. The issue is going to be – I don't think it's going to be as big as it was in that last cycle, primarily driven by just global growth. And we'll see what happens, but you're starting to see copper pricing improve, you're starting to see some of the other commodity pricing improved on a more sustained basis. So you've got some of these companies that are kind of downsized, and looked at what their base business is going to be going forward from a commodity perspective. And I think they're starting to get ready to start spending again. And again, there's very few players in that particular segment that can do these very large projects, and we're obviously one of the key companies that these mining groups come to.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: Thanks, David.
David Thomas Seaton - Fluor Corp.: Thank you.
Operator: Our next question comes from Tahira Afzal with KeyBanc Capital Markets.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Good morning, folks.
David Thomas Seaton - Fluor Corp.: Hi, Tahira.
Biggs C. Porter - Fluor Corp.: Good morning.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Okay. So, first of all, congratulations on the NRC submissions. They are pretty big milestone for the industry. David, I guess a couple of questions around that. Number one, do you have to wait till the receipt of the submission to maybe have people really take notice and maybe for some talks around partnership to materialize further? And secondly, how should we look at people just approaching the nuclear industry including SMRs given all the cost increases on these news project sales?
David Thomas Seaton - Fluor Corp.: Well, first off, congratulations to your husband for the National Championship. I'm sure you're probably pleased with that as well.
Tahira Afzal - KeyBanc Capital Markets, Inc.: He is happy.
David Thomas Seaton - Fluor Corp.: As well as my wife. I'm sorry?
Tahira Afzal - KeyBanc Capital Markets, Inc.: Thank you. And he's very happy, as you can imagine.
David Thomas Seaton - Fluor Corp.: Yeah, go Tigers. Just kills me to say that. But so to your question, we submitted on time. The official acceptance of that was about a week later in January. The NRC basically has 60 days to do what basically the review enough to docket that particular submission.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Right.
David Thomas Seaton - Fluor Corp.: We expect, based on all the conversations and reviews and questions and the answers to those questions that we went through over the last year and a half, we expect to be docketed with around the 60-day period, which will be sometime mid next month. And that begins the formal review. And I think, that's a significant milestone. And one, that shows that, this is a real technology, one that will be taken seriously by the NRC, and their review hopefully give us that good housekeeping seal of approval. On the competitiveness perspective, I think, that that there is fewer companies around the globe that can afford the major nukes. There may be countries that can that are willing to sign-up for some of these programs. And I would argue that even the Westinghouse AP1000 has a place in the future and the costs associated with it will not be as dire as they've been on basically the first kind of generation. I mean the first ones are being completed in China. And then you obviously, have the two here in the United States. But I think the larger market is with the SMR, particularly because it's a smaller program and project. You're not looking at the same megawatts, as you are with some of those bigger units. So I think, the applicability of the small modular reactor is much more broad and has different applications. It's not just a power generating source for the power generators. It's a captive power source for large industrial uses. It's a technology that does not have the same containment vessel requirements because of its design. It does not have some of the safety concerns that maybe some of the older technologies have in terms of the cooling system. So, I think there is a different application for the SMR that will continue to grow. And I believe once it's docketed, it obviously proves to the industry that it's real, and I think that will attract additional investors in NuScale.
Biggs C. Porter - Fluor Corp.: I'd just also add that because it's manufactured, there's much greater cost certainty associated with it.
David Thomas Seaton - Fluor Corp.: Right, right.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Okay. And I guess second question David, we might be headed back in a more inflationary environment. How should I think about that? What do you worry about on the cost side for your company?
David Thomas Seaton - Fluor Corp.: Well, I would have thought that some of the pressures would have already started to creep up in terms of cost of commodities, cost of engineered equipment items and the like. But we're in a middle of a couple of significant mid-cycles and we haven't seen any dramatic increase or expectation of increase in terms of the bid validity from some of these vendors. In lot of cases, when you start to see inflationary pressures, you'll start to see the bid validity on some of these things shorten. And we have not seen that phenomenon yet in the marketplace. And even with the little bit of inflation, I don't think it really dramatically changes my view on the things that we're chasing. It may have a bit of additional cost but, again, we're taking cost out and the net-net is, it's still going to be a cheaper cost per unit of production than they've seen in the past cycles.
Biggs C. Porter - Fluor Corp.: But you also have to remember, we're a very international company.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Right.
Biggs C. Porter - Fluor Corp.: So, it's not about inflation in the United States it's about what's going on globally. And we revisit our total costs globally and we will continue to do so. So, I think that from a economic standpoint, the effects of inflation is one part of it, global economy versus another (43:30) will be muted on us.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Okay. Thank you, folks.
David Thomas Seaton - Fluor Corp.: Thank you.
Operator: Our next question comes from Anna Kaminskaya with Bank of America.
Anna Kaminskaya - Bank of America Merrill Lynch: Good morning, guys. So, I just wanted to clarify, kind of your guidance outlook, and maybe my math is off. But I'm just kind of looking at margins. They're similar year-over-year. So I think you mentioned about step up in burn rate, but then also in oil and gas business, but also kind of full burn rate in the Industrial & Power business. Kind of look, how they'd get to those to the $3 EPS next year, that's what I'm a little bit struggling with. What kind of burn rate do we need to see next year to get to that $3 EPS, given flat margins?
Biggs C. Porter - Fluor Corp.: Well, as I said, the burn rate against backlog is about 42%. So that tells you what's flowing into next year out of what we already have. And then one of the key variabilities for any year is the pace of new awards and what the mix of those is as it comes in. And obviously that's a more subjective estimate as to both win rates and the timing of those new awards. But you get a good feel for at least what's coming out of backlog. But what is coming out of backlog, as I said, is on the Energy, Chemicals & Mining side is a lower burn rate. But with that is some growth in revenue that's occurred. Does that sustain itself all the way through 2017 at a higher overall revenue rate for ECM? Well, quite possibly, but we don't go so far as to literally guide on revenue, but it's just the natural flow of things.
Anna Kaminskaya - Bank of America Merrill Lynch: So, is it fair to say that it assumes kind of assumption of additional new work next year, so inflection maybe in some of the backlog and that's what's helping to get to that $3 EPS target?
Biggs C. Porter - Fluor Corp.: Well, I mean, if you normalize this year, I mean, you think about it in terms of actually, would expect somebody to kind of go the opposite direction with inflection because if you take our 2016 results and normalize those for CPChem and for tax, then that we've talked about just in the last couple of quarters, you'd be up around $3.42 for this year. So, really what we're saying is that the net mix effects are going to take us back down. ECM is going to have a lower margin, so that's a downward for us. But there's growth in the other businesses which are going to take it back up and partially offset that and as a result of all that, puts us at around that $3 per share range.
Anna Kaminskaya - Bank of America Merrill Lynch: Okay. I'll just take it offline. And just maybe you can talk in general about just key government policies that you think will impact your business besides kind of the obvious infrastructure investment. I don't know if you could, in particular, touch on any impact from the cross-border adjustment. I know you have a fabrication facility in Mexico. How meaningful is it to your cost savings for some of the U.S. facilities? Any impact from any deregulation to DP (46:50)? Just generally speaking, what should we be thinking about and watching?
David Thomas Seaton - Fluor Corp.: Well, I mean, I think that we're a global company and we'll be able to deal with any of the issues that are there. I was on a panel – and I think this speaks to part of what you're getting at. I was on a panel back in October, it was before the election. And a question from the audience was, under which presidential candidate would business be more successful under. And my answer was simply it doesn't matter. Business will do what business needs to do to perform given any of the regulatory issues, changes that are there. Border tax may have some impact on our customers, very little on us. We have the ability to fabricate in a lot of different places. With our work right now being 52%, I think it is, U.S. based business, it would have very little impact in terms of the short-term. And just the global reach that we have and how we execute work, we're able to kind of put the project together in the most effective and efficient manner. And you look at the KNPC projects right now, we're not doing any engineering in the United States for those projects and we're procuring very little out of the United States. And in the case of some of the U.S. based projects, there's stuff obviously being brought in, commodity items and the like, but very few of them are actually manufactured in the States. So that would – in the case of the border tax would obtain a waiver. So I mean, I don't think there's really any policy issues that are in front of us that really have an impact on our business in the short-term. I will say I'm encouraged. I mean, the President is basically doing what the President said he was going to do in terms of addressing some of the competitive issues and constraints that have been placed on the United States, whether that's tax policy, whether that's being America first. I mean, I think they're all positive steps, and certainly they all fit within our ability to perform.
Anna Kaminskaya - Bank of America Merrill Lynch: Great. Thank you so much.
David Thomas Seaton - Fluor Corp.: Thank you.
Operator: Our next question comes from Andrew Wittmann with Robert W. Baird & Company.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Great. Thanks. I appreciate the opportunity here.
David Thomas Seaton - Fluor Corp.: How you doing?
Andrew John Wittmann - Robert W. Baird & Co., Inc.: David, in the past you've talked about the lineup for U.S. crackers, the second wave. I've seen a little bit of movement in some of the headlines on a couple of these projects. I'd just like to get your view on if you think that some of these can hit in a more material fashion into your backlog this year and if you believe that you're positioned to capture some of them.
David Thomas Seaton - Fluor Corp.: I think there's significant petrochemical and chemical opportunities that could hit the backlog this year. I'm not sure one of them will be a cracker. But we're still tracking those and looking at how we compete for those. There may be one that gets close this year but again, I think it's all backend loaded. You saw where one of the major programs on methanol was the decision was delayed, which we're competing for. But again, it's not that it's cancelled, it's just delayed in the decision process, where again, I go back to something I said earlier, customers are being a little more thoughtful in terms of the gating process and whether they have all the T's crossed and the I's dotted before they sanction these projects. So I think it's a market that we're focused on, but again, I think it's a backend kind of award in 2017.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Okay. And then just checking in on CPChem, obviously, no charge this quarter and I think everyone's obviously happy to see that. I guess, now that you've got kind of your feet back under you it appears, do you feel like the cost estimates that you have in place and the way the project is going has you set up for no further charges as you stand here today?
David Thomas Seaton - Fluor Corp.: Well, I can't say no other charges. But I will say that steady as she goes. Peter Oosterveer is actually on-site today and we are performing in line with what our expectation was.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Okay. That's fair enough. And then maybe just my final question would just be in the Government segment. This has been over the last couple of quarters very steady. Can you just talk about what contracts you have coming up for rebid and what the potential opportunities to add new contracts to your Government business are shaping up to be for 2017?
David Thomas Seaton - Fluor Corp.: Well, there's a fair amount of opportunity on the DOD side that will start – it will be additive to what we already have. Afghanistan is staying basically flat year-over-year. On the DOE side, we were beginning the recompete process at Savannah River. We feel pretty good about that because of the performance that we're providing the DOE there. Same thing, the performance as I said at Piketon and Paducah is proving us to be one of the DOE's go-to contractors. So that's going to provide a lot of opportunity going forward. But again, I mean, you've heard me say this before, I love the Government business because it's a good, steady, long-term contract base that pays the light bills so that we can go and build stuff other places around the globe. But I will say that if you look at our Government business today versus maybe a decade ago, it's much more sustainable, it's much more solid in terms of long-term contracts. It's much more solid in terms of its impact on our company. And I'm really pleased with what those guys have been able to accomplish.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Okay, great. Thank you very much.
David Thomas Seaton - Fluor Corp.: Thank you.
Operator: We'll take our next question from Yuri Lynk with Canaccord Genuity.
Yuri Jonathan Peter Lynk - Canaccord Genuity Corp.: Hey, good morning, guys.
David Thomas Seaton - Fluor Corp.: Good morning.
Yuri Jonathan Peter Lynk - Canaccord Genuity Corp.: David, just to drill in on the infrastructure side, a little more color on – you're pretty positive on that market. Is that more due to the changes you've made internally repositioning that business or has the macro just continued to get a little bit better more accommodative? And any color on the regions where you're seeing the activity?
David Thomas Seaton - Fluor Corp.: It is a great question. I'd say some of it is what we've done internally in terms of the structure of that group, but also in terms of that integrated solution and some of the power of Fluor's buying ability. If you think about it, we buy more commodity items and equipment on an annual basis than ExxonMobil or Chevron on any given year. So with that comes significant buying power. But also we've improved our capability in that market and brought some new people in to where we're seeing great success. So, I'm really pleased with the development of that group and the leadership there and what they're providing to the overall corporation. And then I think the other piece of that and you're right, it's the market. I mean there is a pent up demand for infrastructure. And we see significant growth in that market. But I think the growth that we see is pinned on the fact that we've improved our offering and improved our ability to perform on those projects. I can't overemphasize the importance of things like the Charleston port project, which proved to us we could be competitive on that $200 million to $500 million kind of project because I think in the United States that's where the market's going to be. Many of these large programs will take a decade to develop. That's why I made the comment in the press and been vocal with the government that there is no such thing as a shovel-ready project on those big, big programs. It'd take a long time to on the gestation period and then they take a fair amount of time to build. I mean I think the Denver Light Rail's a great example where it took 10 years from basically the first funding to cutting the ribbon. So I think that's part of it. But it's not just roads and bridges, I mean it's ports, it's airports, it's the inland waterways, the locks and dams. It's pipelines, it's power distribution from the generation that all needs to be upgraded and that's just in the United States. Then you look at outside the United States, we're looking at growing in Western Europe. We've been particularly successful in the Netherlands and in Germany. We're looking in places like Australia, and other places where Fluor has a huge footprint, to make sure that we've got the people and the capabilities to actually execute these projects. So, even with the growth and opportunity, we're not getting out over our skis in terms of what we can actually perform. So, again, I'm pretty bullish on the infrastructure, continuing to be a significant piece of our offering.
Yuri Jonathan Peter Lynk - Canaccord Genuity Corp.: That's great. Thanks, David. And I'll just squeeze in a last one, maybe for Biggs. Biggs, just a housekeeping issue, non-controlling interest dropped quite a bit in the fourth quarter from kind of the mid-teens run rate. Any color on how that's going to shake out for the full year 2017?
Biggs C. Porter - Fluor Corp.: Well, I think it's just, I mean, it's just another flavor of mix through the businesses, non-controlling interest just relates to those projects that we do through JV that we consolidate through JV. We have lots of JVs we don't consolidate, more than we actually consolidate. So, it being a relatively small part of the business, there just wasn't that much income on those consolidated JVs in the fourth quarter. But I would expect that 2017 for the non-controlling interest number to be back more what it has been for this last year in the aggregate, if not up some.
Yuri Jonathan Peter Lynk - Canaccord Genuity Corp.: Helpful. Thanks, guys.
Operator: We'll take our final question today from Chad Dillard with Deutsche Bank.
Chad Dillard - Deutsche Bank Securities, Inc.: Hi. Good morning.
David Thomas Seaton - Fluor Corp.: Good morning, Chad.
Chad Dillard - Deutsche Bank Securities, Inc.: So, last quarter you'd mentioned that you are seeing some pricing pressure in oil and gas and called it a spillover affect in a few other segments, and as a result, you were kind of dialing back your bidding activity. But it seems like from your comments today that you're looking to increase that activity. So I just wanted to understand, I mean would it be fair to say that you're actually seeing an improvement in pricing and that's causing you to actually go back into the market? Just trying to understand what the competitive environment looks like now.
David Thomas Seaton - Fluor Corp.: Well, we never dialed back our bidding. So if that's what you heard then we mis-communicated. We've not changed our bidding cycle because of pricing at all. What we're seeing is more opportunity our there than it was there maybe this time last year. So we're still looking at the same slate of projects with the same characteristics, the same risk profile that we've had in the past. I just think that the market has changed. And just a final comment on inflation or pricing pressures that are there. Everybody has the same pricing pressures. And your customers are dealing with them. They're pressuring us as an industry. We just had to be more competitive. And a lot of the things that we've done internally is, you've heard me say this before, sticking to your knitting and dealing with the things that we can control. Better engineering tools and the way we design things to improve the overall efficiency and cost of the facility. Once we get into EPC, we've focused dramatically on supply chain and I think we've proven over time that we can take – we're much better at negotiating better prices from our vendors and we're much better delivering that savings on to the project and to ultimately the customer, which in turn makes us more competitive. The focus on direct-hire construction has helped us mitigate risk, but also improved the profit streams that come in to our company. So the strategy that we set out four-and-a-half, five years ago is beginning to pay dividends. And I think that from a competitive perspective, we're in a better position than anybody else I know of to deliver what the customers are asking for, which is that cost and schedule certainty and efficiency in terms of the capital spend. So I think we're in a good position and I wouldn't say that I'm more bullish, much more bullish than I was in previous times, I just think there's more opportunities for us to chase right now.
Chad Dillard - Deutsche Bank Securities, Inc.: That's helpful. And then just I've got a question on your MMAI business. We're seeing a pretty steady drawdown in backlog there. And I'm just trying to understand the drivers. And so, just to what extent is this weakness being driven by more like the legacy Fluor business versus historic? And then also like what sort of visibility you have in that business? I mean, since this stability in energy prices, have you seen any uptick in bidding in there?
David Thomas Seaton - Fluor Corp.: Well, I think, the impact you're seeing is the same impact you've seen on capital projects. Meaning, we're heavily in the oil and gas business in terms of the MMAI business and what you're seeing is customers stopped spending and delayed some of these turnarounds, delayed some of the maintenance changes that they wanted to make. So, that's really what led to the decrease as opposed to legacy businesses because it was kind of across the board. But again, I see the same phenomenon there to where they've delayed some of these turnarounds, and major maintenance programs to the point where they can't delay it anymore without having some sort of issue that in terms of production or God forbid, some catastrophic event. So, we're starting to see those types of things get back on schedule, and we should see I think, some increase in improvement in 2017 in that segment.
Chad Dillard - Deutsche Bank Securities, Inc.: Great. Thank you very much.
Operator: And that will conclude today's question-and-answer session. I would now like to turn the call back over to management for any additional or closing remarks.
David Thomas Seaton - Fluor Corp.: Thank you, Noah. And, thanks to all of you for participating on the call today. As I mentioned earlier, there is no question that the last few years had been a challenge from a growth perspective. With minimum economic growth, and low commodity prices, our customers reduced capital spending and maintenance spending, as expected, in our commodity-based businesses. While our diverse portfolio serves us well, we were able to grow non-ECM backlog. It's not just enough unfortunately to overcome the downturn in EC&M. Fluor has not been idle during this downturn. We made significant investments to improve our integrated solutions offering. And in fact, we're not as I said for the charge related to CPChem it would have been one of our better years. We've made the internal investments to improve our project delivery that leads to the capital efficiencies that our customers expect. We have been relentless in controlling our overhead cost and my hats off to the organization for what is a very difficult process to go through as many of you know. But as we come out of this market trough and enter the new growth cycle, I think Fluor emerges as a stronger and more competitive company and are ready to capture more than our fair share of the market that's available to us. While we expect most of our growth to come organically, we will continue to seek strategic opportunities that add to that integrated solutions portfolio. And, with that we, again, greatly appreciate your support of Fluor and we wish you a good day. Thank you.
Operator: And that does conclude today's conference. Thank you for your participation and you may now disconnect.